Operator: Good morning and welcome to the Builders FirstSource first quarter 2009 earnings conference call. Your host for today’s call is Mr. Floyd Sherman, Chief Executive Officer. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Any reproduction of this call in whole or in part is not permitted without prior written authorization of Builders FirstSource. As a reminder this conference is being recorded today April 24, 2009. The company issued a press release after the market closed yesterday. If you don’t have a copy you can find it on our website at www.bldr.com. Before we begin I would like to remind you that during the course of this conference call, management may make statements concerning the company’s future prospects, business strategies and industry trends. Such statements are considered forward-looking statement under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the Securities and Exchange Commission and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. We provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, I’ll turn the call over to Floyd Sherman.
Floyd Sherman: Thank you and good morning. Welcome to our first quarter 2009 earnings call. Joining me from our management team is Charles Horn, Senior Vice President and Chief Financial Officer. I will start with a recap of the first quarter and then I’ll turn the call over to Charles who’ll discuss our first quarter financial results in more detail. After my closing comments regarding our outlook we’ll take your questions. First quarter of 2009 was very much as we had anticipated. It was an extremely difficult quarter for those in the housing industry. Single family housing starts declined 51.7% from the first quarter of 2008 and fell 24.2% from the fourth quarter of 2008. We felt the impact of these difficult conditions on our first quarter results, although we were able to partially mitigate the overall impact to our action plan of conserving cash, growing market share, reducing physical capacity, adjusting staffing levels, implementing cost containment programs and prudently managing credit. We feel these efforts were successful as our net cash used during the quarter was only $4.3 million. This is consistent with net cash used in the fourth quarter of 2008, but we were able to accomplish this on $37.5 million less sales. We estimate that market share gains reduced our sales decline quarter-over-quarter by an estimated 17%. We were able to achieve these gains by largely holding share with our builder 100 customers, expanding our presence with regional and local custom builders and penetrating further into the multifamily and light commercial segment. From a capacity standpoint we closed two facilities during the quarter. As a result of these closures and other staffing reductions, our average FTEs for the quarter dropped to 3169, down 38% from the first quarter of 2008 and down 22% from the fourth quarter. The reductions in payroll costs, coupled with other cost reductions allow us to reduce our selling, general and administrative expenses by 29% or approximately 88% variable with our sales volume decline of 33%. Excluding facility closure cost, the write-off of debt issue costs and the valuation allowance, our loss from continuing operations per diluted share was $0.46 compared to a loss of $0.43 per diluted share for the first quarter of 2008. We feel our action plan has been successful and continues to be the correct course of action to insure both the short term and long term health of our company. I will now turn the call over to Charles who will review the first quarter results in more detail.
Charles Horn: Good morning everyone. I will walk you through our first quarter results in more detail. We reported sales of $163.8 million, compared to $259.9 million a year ago, a decline of $96.1 million or 37%. Our sales volume dropped an estimated 33% compared to an estimated 50% decline in housing starts within our markets. This indicates a contribution from market share gains of approximately 15% to 17%. Breaking down our product categories, prefabricated components decline $21.7 million, 42.1% from the first quarter of 2008. Windows and doors were down 39.2%. Lumber and lumber sheet goods declined 34.7% to $40 million. Millwork declined 38.6% and lastly other building products and services decreased 30.9%. The categories of prefabricated components and lumber and lumber sheet goods, continues to be negatively impacted by price deflation, as our commodity price index dropped an estimated 15% year-over-year. Our gross margin percentage was 20.9% for the first quarter of 2009, down from 22.3% last year, a 140 basis point decline. Specifically, our gross margin percentage declined 30 basis points due to lower prices, 60 basis points due to volume, which is due to our fixed cost and cost of goods sold and 50 basis points due to a shift in sales mix, towards lower gross margin products and services. Our selling, general and administrative expenses decreased $21.8 million or 29% to $54.4 million. As a percentage of sales however, SG&A expense increased from 29.3% in the first quarter of 2008 to 33.2% in the same period of 2009, which is reflective of fixed cost items becoming a larger percentage of our SG&A. Within salaries and SG&A, salaries and benefits expense declined $14.3 million or 31.3% from the first quarter of 2008. This decline was 95% variable with our sales volume decline of 33%. Office G&A expense decreased $3.1 million or 34.3% from the same quarter of last year. Occupancy expenses were down $1 million, but up from 2.5% of sales a year ago, to 3.4% of sales in the current quarter. This is reflective of the fixed cost nature of this category. Delivery expenses decreased $4.1 million to $10.1 million during the quarter. The 28.9% decline is primarily due to a $2.2 million decrease in fuel costs and a $1.3 million decrease in fleet lease and maintenance expenses. Our bad debt expense was $1.2 million or 70 basis points of sales compared to $3.3 million or 10 basis points of sales in the year ago quarter. We recorded $560,000 of facility closure costs during the quarter, primarily related to our remaining lease obligations on the distribution facility in Maryland and administrative offices in South Carolina. Interest expense were $7.5 million, an increase of $1.1 million over the prior year due to write-off of $1.2 million debt issue cost related to a capacity reduction in our revolving credit facility from $350 million to $250 million. We recorded tax expense of $2.1 million or a 7.5% effective tax rate during the quarter, compared to a tax benefit of $9.5 million or a 38.3% tax benefit rate in the first quarter last year. Our benefit for the quarter was reduced by an after-tax, non-cash valuation allowance of $12.9 million or $0.36 per diluted share, related to our net deferred tax assets. Absent this valuation allowance our tax benefit rates would have been 38.1%. Our loss from continuing operations for the quarter was $30.4 million or $0.85 loss per diluted share compared to $15.3 million or $0.43 loss per diluted share in the same period last year. Excluding the valuation allowance, facility closure costs and the write-off of debt issue, our loss from continuing operations was $0.46 per diluted share for the current quarter, compared to $0.43 last year. Adjusted EBITDA for the quarter was a loss of $13.7 million compared to a loss of $10.2 million in the same quarter a year ago. EBITDA declined $3.5 million year-over-year, on a $96.1 million sales decline, which equates to only 3.6% negative flow through from the loss sales. Our net cash used during the quarter was $4.3 million, leaving a cash balance of $102.6 million at March 31, 2009. Our net borrowing availability at March 31, 2009 was essentially zero due to a drop in our eligible borrowing base, which is supported by trade receivables and inventory balances. Approximately $19.1 million of cash on hand at March 31, 2009 supported a short fall in the calculation of the $35 million minimum liquidity covenants contained in you credit agreement. An updated on our tax income refunds. We expect to are e receive a $33 million tax income refund within the next two weeks. In looking forward, both the House and the Senate have introduced bills that would allow for a five year carry back for net operating losses. If that’s passed, that could allow us to generate up to $15 million of potential refunds in 2010. Our working capital percentage excluding cash and income tax receivables was 12.6% compared to 12.9% last year. However, our cash conversion days worsened from 53 days last year to 60 days this quarter. The increase in our cash conversion days was primarily due to a decrease in our accounts payable days. Our accounts receivable days actually improved slightly dropping to 41 days from 41.9 days last year. Our inventory turns essentially remains flat between years. Our accounts payable days decreased due to an increasing amount of outside contract labor and due to slow inventory turns. Our subcontractors generally require us to pay on a daily to weekly basis. We recently have extended these terms by negotiations to a net of about 15 days, which should improve our 80 days in the second quarter. I will now turn the call back over to Floyd for his closing comments. An updated on our tax income refunds. We expect to are e receive a $33 million tax income refund within the next two weeks. In looking forward, both the House and the Senate have introduced bills that would allow for a five year carry back for net operating losses. If that’s passed, that could allow us to generate up to $15 million of potential refunds in 2010. Our working capital percentage excluding cash and income tax receivables was 12.6% compared to 12.9% last year. However, our cash conversion days worsened from 53 days last year to 60 days this quarter. The increase in our cash conversion days was primarily due to a decrease in our accounts payable days. Our accounts receivable days actually improved slightly dropping to 41 days from 41.9 days last year. Our inventory turns essentially remains flat between years. Our accounts payable days decreased due to an increasing amount of outside contract labor and due to slow inventory turns. Our subcontractors generally require us to pay on a daily to weekly basis. We recently have extended these terms by negotiations to a net of about 15 days, which should improve our 80 days in the second quarter. I will now turn the call back over to Floyd for his closing comments.
Floyd Sherman: Thank you Charles. First quarter single family housing starts dropped 52% compared to the same quarter a year ago and on a seasonally adjusted annual rate, single family starts dropped almost 50% to 358,000 starts, further indication that 2009 will likely be more challenging than 2008. We believe our action plan has been successful and limiting the impact of the difficult conditions on our results and we will continue to execute our strategy of implementing cost containment programs, prudently managing credit, rationalizing physical capacity and staffing levels, growing market share and conserving cash. This continued strategy execution coupled with $83.5 million in available cash and over $30 million in expected income tax refunds in 2009 should provide the liquidity to withstand these challenging conditions within our industry. Since the housing correction began 36 months ago, we’ve asked a tremendous amount from our employees. The past three years have not been easy, but I’m very proud of the sacrifices our employees have made and I’m also very proud of their willingness to do whatever it takes to get the job done. They’ve responded admirably and for this, I owe them an enormous amount of gratitude. I’ll now turn the call over to the operator for Q-and-A.
Operator: (Operator Instructions) We will go next to Nishu Sood with Deutsche bank.
Rob Hansen - Deutsche Bank: This is actually Rob Hansen for Nishu. In the release you mentioned that the incremental multifamily and light commercial sales. So just in general, how much of your sales, percentage wise is in those end markets now, and what is kind of your target over the longer term?
Floyd Sherman: Yes, I believe the percentage has grown slightly over 10% of our total revenues. Clearly it’s a market we like to continue to expand into. We’ve developed the infrastructure, the expertise and we will look to expand over the coming quarters. Obviously, we do not believe that the multi-family mark or light commercial is immune to the correction that’s going on. So that in and out of it sales may limit our ability to increase that percentage, but it is something in the long term we want to continue to try to penetrate.
Rob Hansen - Deutsche Bank: In terms of types of construction projects, a lot of these are like the student housing that you had mentioned in the past.
Floyd Sherman: I can be military dormitories, student housing, apartment, complexes just any number of things high-rises…
Charles Horn: It can even be low rise office buildings.
Floyd Sherman: Yes.
Rob Hansen - Deutsche Bank: Okay. That’s all I’ve got. Thank you.
Operator: We’ll go next to David Manthey with Robert W. Baird.
David Manthey - Robert W. Baird: Hi, guys good morning.
Charles Horn: Hi, David.
David Manthey - Robert W. Baird: In the last call you mentioned that you though your breakeven point was something less than $100 million per month and I don’t know if there’s any finer point you can put on that this quarter given the actions you’ve taken since then. Is there a range or something or you can give us an idea of where you think your break-even point is?
Charles Horn: Based on the cost structure that we’re putting in place right now and with the adjustments we’ve made and the efficiency improvements, I think that number is now closer to $80 million to $85 million a month in terms of sales. So somewhere in the $960 million to $1 billion in annual sales per year.
David Manthey - Robert W. Baird: Okay and in terms of the locations that you have open right now, I would imagine it’s all over the map, but is it safe to assume there’s a number of locations that you have, you cut down, to basically bear minimum costs that next step for you as you’ve been doing right along we do to close the operation?
Charles Horn: That is true. While we’re redisson [ph] we really don’t want to do that, we want to keep our footprint as broad as possible. There are a few that we’re looking at, that if we cannot get turned around via headcount reduction or sales expansion or gross margin expansions, then we will look to make a decision on sometime during the second quarter.
David Manthey - Robert W. Baird: Okay and then just to add on to the last question, I think you said 15% to 17% of incremental top line was driven by share gains plus the multi-family and non-res areas. I don’t know if you answered this to the last question, could you break that down to some extent for us, give us an idea. I think your share gains had been running kind of upper single-digits. Do you think that’s still the case today and the rest will be from these other areas?
Charles Horn: I think that will be accurate, yes. I think you’d probably be seeing the single family in the 10% to 12% range, in the multi-family and the 3% to 5% range.
David Manthey - Robert W. Baird: Okay. Alright guys, thanks very much.
Operator: We’ll go next to Walter Branson with Regiment Capital.
Walter Branson - Regiment Capital: Hi, thanks. A couple of things. I apologize if these have been asked, because I was off for a minute. Regarding tax refunds, so it sounds like you’re getting $33 million in the next two weeks and that’s going forward except for unless the bill is passed that extends to these carry backs; is that correct?
Charles Horn: That is correct.
Walter Branson - Regiment Capital: Okay and were there any tax payments or refunds in the first quarter?
Charles Horn: No.
Walter Branson - Regiment Capital: Okay and can you give us a little bit, again if you haven’t done it already, overview of your liquidity outlook over the next few quarters. Obviously the tax rate will bolster that, but aside from that, what are you looking at, what do you expect to see in terms of changes in the borrowing base and cash flow over the next few quarters.
Charles Horn: We’ll begin the second quarter once this refund comes in with about $160.5 million of liquidity. At this point I don’t know; Floyd would disagree with me, we don’t see any increases in sales per day coming in terms of the second quarter. So if we make the assumption that we’re going to stay flat at about 350,000 annualized single family starts, then what you would likely see is a slight increase in the cash burn as we are not liquidating as much working capital, but based upon where we stand now with the refunds, we feel very good about 2009, we feel good about looking out into 2010. Clearly we’re always going to be looking for ways to get more efficient, to save more cash and to make sure that we have a strong cash balance at the end of 2009, but I would expect the cash burn to increase slightly just because we’re not monetizing as much working capital as our sales would not be dropping.
Floyd Sherman: We still have room for improving our inventory turns. We’ve identified some slow moving inventory that we feel we can convert into cash and are already actively involved in doing this. We continue to improve on our labor efficiency and we will be producing some efficiency gains in the payroll area, the cost area. As Charles mentioned earlier in his part of the presentation, that we are anticipating an improvement in payables. That’s coming from not only the extensions that we have been able to achieve, and right now all of our subcontractors have agreed to the extended pay going from pay now to a 15-day pay schedule. We’ve also negotiated improvements in our payable terms with a number of our suppliers and we anticipate that also contributing to us in the coming quarters.
Walter Branson - Regiment Capital: Okay, so tell me if this is right, but you’re not expecting the normal second quarter seasonal pick up in sales per day, is that right?
Floyd Sherman: I can tell you we’re not seeing it at this point.
Walter Branson - Regiment Capital: Okay and then, but it sounds like perhaps inventory and receivables will be and hence the borrowing will be relatively stable. Is that also true?
Floyd Sherman: I think that would be accurate statement, yes.
Walter Branson - Regiment Capital: Thank you.
Operator: We will go next to Ivan Holman with RBC Capital Markets.
Ivan Holman - RBC Capital Markets: Ivan, sitting in for Scot Ciccarelli. I guess the first question I just kind wanted to approve that you guys had mentioned regarding the labor cost cuts, the 10%. Can you kind of give us an idea as to where those labor cost cuts are going to be coming from; where the major payroll cuts are going to be? Are those going to be those areas that are challenged and is there a lot more room before you really start kind of impacting quality and what not, to actually cut more out of your labor expense?
Floyd Sherman: The labor reductions and it will be throughout every phase of our operation, whether it’s here in head quarters, whether it’s out in field operations distribution, operations or manufacturing facilities, we continue to look for ways that we can become more efficient and how do we operate more efficient? We have a weekly labor planning guide that all of our operations follow. We track it on a daily and weekly basis, are full-time equivalent and we post that against our sales that are occurring during the week and so that we continually are looking for areas that we can improve on efficiency and bring everybody up to a higher standard of operating. These are all on going. We’ve been doing it consistently now over for the past 18 months and I think the results very dramatically speak for themselves. We don’t have any specific area that is overstaffed or is top heavy. So it’s just going to come from a broad base throughout the operations and it’s going to come because we are very, very focused on running a more efficient operation and an operation that will really aid us when better times, that we are confronted. Housing recovery, we should dramatically be able to leverage our results upward.
Ivan Holman - RBC Capital Markets: Okay, thank you. So if there is no turnaround I guess in the near term, are you saying that there is more potential for more kind of headcount reduction? You guys are open to that possibility? Thank you.
Floyd Sherman: We have indicated that I think the 10% FTE count versus first quarter FTE count, average count, there’s about a 10% improvement that you will see.
Ivan Holman - RBC Capital Markets: Okay, great thank you, and I guess like my second question is with regards to lumber prices. I was just wondering if you had seen any improvement possibly on the vendor level in terms of firming of lumber prices. I was just kind of tracking the numbers and it looks like obviously figures are much lower in your basis, but are you seeing any tentative maybe stabilization. I know the spring season typically picks up around now. Has there been any pass through from vendors trying to maybe negotiate better terms on lumber prices or is that still very, very soft.
Floyd Sherman: No, lumber pricing has definitely firmed up over the last several weeks and the lumber mills have reacted. Now they have really begun reducing their number of mills, number of units that are producing, number of shifts and they are very quickly bringing their supply in line with the demand. We’ve seen a rally in the lumber market pricing over the last several weeks. We think that this probably is going to hold, because it’s based on the supply and demand. On the other side of the ledger, we have got sheet goods, especially 716 OSB, we still are seeing very soft pricing and the capacity is still exceeding the demand that’s out there. So, I don’t really anticipate seeing major improvements in OSB pricing. The mills on the lumber side, they are very, very difficult to negotiate price now as compared to what you were able to do a few months ago.
Ivan Holman - RBC Capital Markets: Thank you. It’s very helpful. That’s it for me. Thanks a lot.
Operator: We’ll next to Brian Tedale with Broadpoint Capital.
Brian Tedale - Broadpoint Capital: Hey, good morning.
Floyd Sherman: Good morning.
Brian Tedale - Broadpoint Capital: First thing, I want to make sure I heard you correctly. If the cash tax refunds, if the markets go back five years did you say it would be additional $50 million five zero or 15 million that you could receive?
Charles Horn: It would be up to 50, but it would depend obviously on our actual losses in 2009 as to how much we could reclaim.
Brian Tedale - Broadpoint Capital: Would that be increment to the 33 this year?
Charles Horn: That is correct.
Brian Tedale - Broadpoint Capital: Okay and with regard to working capital, given your comments before, do you think that you could still squeeze out another $10 million, $15 million of additional cash or working capital this year or do you expect something less than that?
Charles Horn: Let’s look at the balance sheet real quick. I think it’s conceivable to squeeze out 10 in a static environment from where we currently stand. Again, much of that will becoming in payables with some of the initiatives we’ve made and then the other point Floyd made on inventories. Receivables will continue to be pressure; I don’t know if we can improve DSO and receivables from 41 days; that’s pretty good in today’s conditions. CapEx will definitely be dropping in the second part of the year. In fact our 1.7 I believe that was in the first quarter, that probably pretty well covers us for the year.
Brian Tedale - Broadpoint Capital: Okay. If I heard you right, that covers you for the full year?
Charles Horn: I believe so.
Brian Tedale - Broadpoint Capital: Thank you for those. With regard to the customers, I think in the past you had mentioned; that’s when the banks have been getting a little tougher for the customer, forcing lower liquidations, are you seeing that pick up more now or is that sort of dilapidate at all?
Charles Horn: I can’t say that’s being dilapidate, I think it’s just continuing the way it was before. I think beginning in Q4 of last year is where we really saw the increase in activity of builders heading to orderly liquidation and that process just continues.
Brian Tedale - Broadpoint Capital: Finally just with regard to I assume the liquidity front, are you at this point pursuing any new paths of liquidity or not yet. At this point you’re still comfortable; you mentioned ‘09, but are you pursuing anything new at this point?
Charles Horn: Well, like I said we feel good about our current liquidity position, but there are also various things we are considering. We are looking at the potential divestiture of some non co-assets, but that’s very early in the process. There’s always things we can look to do to try to improve liquidity and Floyd and I are very focused on doing that.
Brian Tedale - Broadpoint Capital: On the M&A front, is it something you could raise looking at seismic sizable or something in single-digit type of millions, something in that category?
Charles Horn: It would be lower and of course, it’s just unknown whether we will be successful.
Brian Tedale - Broadpoint Capital: Alright. Thank you very much.
Operator: We’ll go next to Michael Plansey with Credit Suisse.
Michael Plansey - Credit Suisse: Hi, just a couple of questions. First one, $14 million of savings you referenced with regards to the headcount, is that incremental to what you have already received?
Charles Horn: That’s correct.
Michael Plansey - Credit Suisse: Okay and then on the fourth quarter conference call, you had mentioned that you had expected to get some availability back on your ABL, it looks like it actually declined further. What was the major delta there?
Charles Horn: Basically our sales were lower in Q1 of 2009 than what we anticipated in doing our forecast.
Michael Plansey - Credit Suisse: Right. Okay and then also, was there any change in the percentage of receivables that were 60 days past due?
Charles Horn: The 60 day bucket was fairly consistent. In terms of the overall greater than 60, it has gone up to about 7% from where it was last year. That’s part of the reason why you see the higher bad debt expense, part of the reason why you see the greater allowance as a percentage of total trade receivables.
Michael Plansey - Credit Suisse: You said it increased 7% year-over-year?
Charles Horn: Yes.
Michael Plansey - Credit Suisse: Thank you.
Operator: We will go next to Jay McCanless with FTN Equity
Jay McCanless - FTN Equity: Morning everyone.
Floyd Sherman: Morning Jay.
Jay McCanless - FTN Equity: I wanted to ask the breakeven question in a different way. Is there a level of single family starts, where you believe Builders FirstSource will be breakeven?
Floyd Sherman: Well we do look at that. In fact we look at that pretty much everyday. There’s so many moving factors, I’ll just give you the answer. If we keep things static in terms of our current cost structure, current margin rate, it’s probably in the 480 to 500 penetration. Our currents market penetration, 480,000 to 500,000 single family starts annually.
Jay McCanless - FTN Equity: Okay. Assuming everything stays the same as it is now.
Floyd Sherman: That’s correct.
Jay McCanless - FTN Equity: Okay and then also on the M&A front, I wanted to see if stock was still in play and are you all looking at any deals right now, potentially watching them or maybe another company?
Floyd Sherman: In terms of our Intel on stock building supplies, really no better than anyone else. It’s just what we’ve seen in the public, wisely have indicated they are looking to divest them. We understand they’re running at process, but beyond that we don’t have too much information. In terms of what we are doing, our focus is primarily on maintaining liquidity and protecting our current company. So we are not looking to active in any M&A activity at the moment.
Jay McCanless - FTN Equity: Okay and then my final question on the credit facility is and I guess this is more of a procedural question, if you decide to shut down more operations later in the year, it means less inventory less receivables standing, does most of the cash that you might of the saving that you would get from there, have to immediately go to pay that down, because it is an asset-based facility and should be carrying less assets etc. Is that the line of thinking logically?
Charles Horn: You’re correct, but first I mean we obviously before getting an effective advance rate of inventory of 44%, we’d expect if we sit down in operation, we’re going to get more than that in liquidation value. So, net-net it’s going to be a possible arbitrage for us, but in terms of will it reduce the borrowing base, yes. Would we then have to put more cash up, which would still be a greater line of cash than what we had borrowed, yes or we can pay down the debt some.
Jay McCanless - FTN Equity: Okay. So it’s either put the cash up or pay the debt down, one of the two.
Charles Horn: An example; when we sipped out New Jersey, we monetize a lot more in real value at receivables and inventory than what our current credit agreement gives us credit for. So definitely it’s an advantage if we choose to go that root in terms of a faster cash flow.
Jay McCanless - FTN Equity: Okay, great. Thank you.
Operator: We will go next to Jim Wilson with JMP Securities.
Jim Wilson - JMP Securities: Thanks. Morning guys. I know I asked this question before, but I just need a little updating color on; in your key markets, how much shrinkage of competitors you have seen, are you continuing to see? I’m just trying to get a feeling for how you’re postured for the future beyond obviously the share gains you are already getting, but how you are postured for the future, particularly as it relates to how much further shrinkage of competitors has occurred over the last three months.
Floyd Sherman : I think we are in good shape Jim. There has been a lot of shut downs from everyone in the industry, from the top five down to the bottom levels and so we’re definitely seeing capacity pull out of it, some of the major markets, some of the smaller more treasury market. As part of the reason, our goal is try to keep our footprint is broad as possible, so we can keep a toehold in the market and make sure we’re there when we see a housing recovery, but capacity has greatly dropped out. I can’t sit here and tell you enough it’s dropped out at this point, it hasn’t. So we’re definitely seeing in each of our markets capacity dropping and in some cases it’s us dropping the capacity.
Jim Wilson - JMP Securities: Again, I guess for future markets and in sort of sales conditions at the moment that seem to be getting better or at least from what I see southwest, but particularly Arizona, Nevada California, Colorado, any thoughts of being opportunistic and even picking up a facility or something in those markets or is it still too early.
Charles Horn: Way too early and it won’t be happening in the immediate future for us.
Jim Wilson - JMP Securities: Okay. Fair enough.
Operator: (Operator Instructions) We will go next to Ted Wagenknecht with DDJ Capital Management.
Ted Wagenknecht - DDJ Capital Management: Good morning. When you guys mention this breakeven level. Breakeven what?
Floyd Sherman: That’s a good question. What we are referring to is breakeven EBITDA.
Ted Wagenknecht - DDJ Capital Management: Break even EBITDA; and you guys have mentioned two facility closures, one in Maryland and one elsewhere; was that subsequent to the quarter end. That’s a Q 2 event or was that in the quarter.
Floyd Sherman: That was during the quarter and one of them is just a regional office, it was purely an admin office.
Ted Wagenknecht - DDJ Capital Management: Can you talk a little bit about what’s been happening with stock and 84 and maybe probe build in your markets? Is stock effectively winding down?
Floyd Sherman: I don’t know if we can make that statement. Again we do understand they’re running a process; we don’t know how that will ultimately end up, but everyone for the most part is shutting down locations and trying to cut their cash burns and that includes 84 and includes stock and that includes us. All of us are trying to rationalize capacity in the markets, all of us are trying to get some stable pricing in the market and all of us are trying to respond with the efficiency improvements.
Ted Wagenknecht - DDJ Capital Management: Just in terms of the markets in which you operate, what is the overlap with stock specifically?
Floyd Sherman: We have a lot of overlap in the traditional southeast markets. We have overlap with stock in the Texas markets and so probably pretty much uniform all the way through from the Atlantic Coast right on down to Florida and then over to Texas. So, high percentage of market overlap.
Ted Wagenknecht - DDJ Capital Management: Okay. Thank you.
Operator: We will go now to Kevin Starke with CRT Capital.
Kevin Starke - CRT Capital: Following on the last question, I know we all hate addressing hypothetical, but have you given some though to what might happen if well he doesn’t find a buyer for stock and they have to liquidated it. Would that might mean near term and longer term for your markets.
Floyd Sherman: If it were to head that direction, short term it can put pressure on us as they liquidated inventory. Long term that obviously benefit to us as we’d eliminate one of our key competitor within our markets.
Kevin Starke - CRT Capital: Anything you can do to mitigate the initiate liquidation.
Floyd Sherman: I think there’s ways we can look at it if they work to happen that way. We could even look at maybe acquiring some of the inventory. We can look at during something to try mitigate it, but I think in most scenarios there would still be some downward pressure. Well we’ve seen where companies have shutdown in markets where we compete. When they get rid of the inventory, they get rid of it is fairly aggressively. So, short term there is a little bit of an impact, but we would try to manage it as best as we could.
Kevin Starke - CRT Capital: You could be a buyer to inventory, could you not?
Floyd Sherman: That would be an alternative for us, yes.
Kevin Starke - CRT Capital: Looking at the trading of the FRNs it’s been pretty active lately, and I’m was just wondering if any new holders have made over just to you on how to address the use of cash that those reference represents.
Floyd Sherman: Well, I talk to many of the major holders on a daily basis. They’re interested in the company and they’re interested in the investment. I’m not aware of any new holders or any major sellers, but I do talk with a couple of the biggest holders quite frequently; in fact one was on the phone earlier. So we do discuss it with them, but in terms of the company looking at acquiring them, I wouldn’t say that we’d use any of our liquidity at this point to do so.
Operator: And at this time there appear to be no more questions. Mr. Sherman I’ll turn the call back to you for closing remarks.
Floyd Sherman: Okay. Thank you for joining us today. If you have any further questions, please feel free to contact Charles Horn.
Operator: This does conclude today’s conference. Thank you for your participation.